Wendy Huang: Good day, and good evening. Thank you for standing by. Welcome to Tencent Holdings Limited 2024 Fourth Quarter and Annual Results Announcement Webinar. I'm Wendy Huang from Tencent IR team. At this time, all participants are in a listen-only mode. After the managements presentation, there will be a question-and-answer session. [Operator Instructions] And please be advised that today's webinar is being recorded. Before we start the presentation, we would like to remind you that it includes forward-looking statements, which are underlined by a number of risks and uncertainties and may not be realized in the future for various reasons. Information about general market conditions is coming from a variety of sources outside of Tencent. This presentation also contains some unaudited non-IFRS financial measures that should be considered in addition to, but not as a substitute for, measures of the group's financial performance prepared in accordance with IFRS. For a detailed discussion of risk factors and non-IFRS measures, please refer to our disclosure documents on the IR section of our website. Now let me introduce the management team on webinar tonight. Our Chairman and CEO, Pony Ma will kick off with a short overview; President, Martin Lau will provide an update on our AI initiatives; Chief Strategy Officer, James Mitchell will provide a business review; and Chief Financial Officer, John Lo will conclude with financial discussion before we open the floor for questions. I will now pass it to Pony.
Pony Ma: Thank you, Wendy. Good evening. Thank you, everyone for joining us. In 2024, we reinforces the long term franchise value of our key services. In Weixin, we're strengthening our transaction capabilities with the launch of Mini Shops and upgrades for Weixin Search. Video accounts' user time spent grew rapidly on enhanced documentation algorithms. Our evergreen game portfolio increased from 12 games in 2023 to 14 in 2024, and we nurtured new games with the evergreen potential. Three of Tencent Video's drama series rank among the industry's top five in 2024, while Tencent Music extend its industry leadership with, 121 million subscribers. Our marketing services revenue growth outperforms the industry, as we upgrade our advertising technology platform and increase user traffic. In fintech, we upgrade our risk controlled and optimize payment funding cost, strengthening our overall fintech franchise and profitability. On AI, we Advanced the HunYuan capabilities, deployed AI for internal AI use cases, and prepare for breakout growth in consumer AI use cases. Financially, our revenue growth rate improved during 2024, hitting double-digit growth in the fourth quarter. Our growth and operating profit grew faster than our revenues, as we shifted towards high quality revenue streams. We are focused (ph) on delivering shareholders' return, paying out HKD32 billion in cash dividends and repurchasing HKD112 billion worth of our shares during the year. Looking at our financial Numbers for the fourth quarter. Total revenue was RMB172 billion, up 11% year-on-year. Gross profit was RMB91 billion, up 17% year-on-year. Non-IFRS operating profit was RMB59 billion, up 21% year-on-year, and non-IFRS net profit attributable to equity holders was RMB55 billion, up 30% year-on-year. Now, I will hand over to Martin.
Martin Lau: Thank you, Pony, and good evening, good morning to everybody. In my section, I will talk about our initiatives in terms of investing in AI for growth, and I will summarize our AI initiatives and how we're investing in AI as both a growth multiplier for our existing businesses and as a new growth driver and these include the progress we've made with our self-developed HunYuan Foundation Model, our multimodal strategy to provide the best AI experience to users, the integration of AI into our enterprise facing services, how we're unlocking the growth potential of existing businesses with AI, and finally, our stepped up investment into AI for future. Moving on to the first topic. Our AI initiatives really trace back to 2016 when we first established our AI lab. Since 2023, early part of that, we have been investing heavily in our proprietary HunYuan Foundation Model, which forms an important technology foundation for our consumer and enterprise facing businesses and will serve as a growth multiplier for us in the long run. Our investments in HunYuan enable us to develop end-to-end foundation model capabilities in terms of infrastructure, algorithm, training, alignment and data management, and also to tailor solutions for the different needs of internal and external use cases. In terms of milestones, we are an early adopter of new techniques in Core LLM, including the mixture of expert architecture in March 2024, the Heterogeneous MoE-based HunYuan Turbo in September 2024 and the Hybrid-Mamba-Transformer MoE-based Turbo S model in February 2025. Unlike conventional transformer models that face limitation in context length, our current Turbo S LLM increases the efficiency in handling long sequence through Mamba optimization. We also released our HunYuan T1 deep thinking model in February 2025, which is among the first long chain of thought models in China, delivering performance comparable to top tier models. In addition to LLMs, we've released a multi-model HunYuan Foundation Model with capabilities that span across image, video and 3D generation. HunYuan's image generation models achieved the highest score from FlagEval in December of last year. In video generation, our model excels in video output quality and ranked first on Hugging Face in December of last year. And our 3D Generation model was the industry's first open-source model supporting text and image to 3D generation. In addition to that, we also contribute to the open-source community actively and have open-sourced a series of advanced models in the HunYuan family for 3D generation, video generation, large language and image generation. Several of these models have gained great popularity among developers worldwide. Now going to our consumer facing AI products. We adopt a multimodal strategy to provide the best AI experience to our users, so we can leverage all available models to serve different user needs. We need this because different AI models are optimized for different capabilities, performance metrics and use cases, and a combination of various models can handle complex tasks better than a single model. Our experience in software businesses such as online games also demonstrates that there are synergies in being a developer and an operator. By investing in our own foundation models, we're able to fully leverage our proprietary data to tailor solutions to meet customized internal and customer needs. While at the same time, making use of external models, allowed us to benefit from innovations across the industry. On the product front, our AI native application Yuanbao provides access to multiple models including Chain of Thought reasoning models such as HunYuan T1 and DeepSeek-R1 and fast thinking model HunYuan Turbo S with the option of integrating web search results. Yuanbao's search results can directly access high quality proprietary content from Tencent ecosystem, such as official accounts and video accounts. By leveraging HunYuan's multimodal capabilities, Yuanbao can process prompts in images, voice and documents in addition to text. Our cloud infrastructure supports stable and uncapped access to leading models. From February to March, Yuanbao's DAU increased 20-fold to become the third highest AI native mobile application in China by DAU. In addition to that, we have also started testing AI features in Weixin to enhance user experience such as for search, language input and content generation, and we will be adding more AI features in Weixin going forward. Now moving on to the enterprise-facing side. We have been accelerating AI integration into our cloud business across our infrastructure, platform and software-as-a-service solutions. Through our infrastructure as a service AI solutions, enterprise customers can achieve high performance AI training and inference capabilities at scale and developers can access and deploy mainstream foundation models. For platform as a service pass, our TI Platform supports model fine-tuning and inference demands with flexibility. We'll provide powerful solutions supporting enterprise customers in customizing AI assistance using their own proprietary data and developers in generating mini programs and mobile applications through natural language prompts. Our SaaS products increasingly benefit from AI powered tools. Real time transcription and meeting summarization functions in Tencent meeting gained significant popularity resulting in monthly active users for these AI functions doubling year-on-year to 15 million. Tencent Docs also enhanced user productivity in content generation and processing. In 2024, our AI cloud revenue approximately doubled year-on-year. Increased allocation of GPUs for internal use cases, initially for ad tech (ph) and foundation model training and more recently on AI inference for Yuanbao and Weixin has limited our provision of GPUs to external clients and thus constrained our cloud services revenue growth. For external workloads, we have prioritized available GPUs toward high value use cases and clients. Since the fourth quarter of 2024, we have stepped up our purchase of GPUs and as we deploy these GPUs, we expect to accelerate the revenue growth of our overall cloud services. Now moving on to our existing businesses. We believe our investment in AI has already been generating positive returns for us and I will give you three examples on how AI is empowering our existing products and businesses and generating return. For advertising, we enhanced our advertising system with neural network AI capabilities since 2015. We rebuilt ad tech platform using large model capabilities since 2020, enabling long sequence user behavior analysis across multiple properties, which resulted in increased user engagement and higher click through rates. Since 2023, we have been adding large language model capabilities to facilitate more efficient approvals of ad content to better understand merchandise categories and users' commercial intent for more precise ad targeting and to provide generative AI tools for advertisers to streamline the ad create process, leveraging AI powered ad targeting capabilities and generative AI ad creative solutions. Our Marketing Services business is already a clear beneficiary of AI integration with revenue growth of 20% in 2024 amid challenging macro environment. In games, we adopted machine learning technology in our PvP games since 2017. We leveraged AI in games to optimize matching experience, improve game balance and facilitate AI coaching for new players, empowering our evergreen games strategy. Our games business is now integrating large language model capabilities to enhance 3D content production efficiency and to empower in-game chatbots. For our video and music services, we're leveraging AI to improve productivity and animation, live action video and music content creation. Our content recommendation algorithms are powered by AI and are proven effective in boosting content discovery. These initiatives enable us to better unlock the potential of our great content platforms. And finally, as the capabilities and benefits of AI become clearer, we have stepped up our AI investments to meet our internal business needs, train foundation models, and support searching demand for inference, we're experiencing from our users. To consolidate our resources around this all important AI effort, we have reorganized our AI teams to sharpen focus on both fast product innovation and deep model research. Matching our stepped-up execution momentum and decision making velocity, we increased annual CapEx more than three-fold to $10.7 billion in2024, equivalent to approximately 12% of our revenue with a notable uplift in fourth quarter of the year, as we bought more GPUs for both inference needs as well as for our cloud services. We intend to further increase our capital expenditures in 2025 and expect our CapEx to account for low-teens percentage of our revenue. In terms of R&D, we will continue to invest in our own models and to accelerate the development AI applications of each of our business groups. We're also investing in marketing to build user awareness and promote the adoption of new AI products such as Yuanbao. We believe these investments will generate good economic returns over time, but we also have the capacity to intention to continue returning capital to shareholders and we intend to buy back at least HKD80 billion worth of our stock in 2025. So with that, I'll pass to James.
James Mitchell: Thank you, Martin and hello, everyone. For the fourth quarter, our total revenue returned to double-digit growth up 11% year-on-year. VAS represented 46% of our revenue within which the social network subsegment was 17%, domestic games 20%, and international games 9%. Marketing Services was 20% of our revenue, and FinTech and Business Services 33%. Our gross profit grew 17% year-on-year on increased contributions from high margin revenue streams such as Domestic Games, Video Accounts advertising and Weixin Search advertising, alongside cost efficiency from cloud services. By segment, VAS gross profit increased 19% year-on-year, representing 49% of our total gross profit. Marketing Services gross profit increased 19% year-on-year to contributing 22%, and FinTech and Business Services gross profit increased 11% contributing 29%. For Value added Services segment revenue was RMB79 billion up 14% year-on-year. Social Networks revenue was up 6% driven by increased revenue from app based game item sales, music subscriptions and Mini Games platform service fees. Music subscription revenue increased 18% year-on-year as subscribers grew to 121 million. Tencent Music deepened cooperation with labels and artists and added super VIP privileges such as AI powered audio effect matching and collectible artists cards. Long-form video subscription revenue increased 3% year-on-year with subscribers growing to 113 million. Our self-commissioned drama series Love Game in Eastern Fantasy was the most watched drama series across all online platforms in China in November. Domestic Games revenue grew 23% year-on-year against a low base quarter, driven by evergreen games, Honor of Kings, Peacekeeper Elite, VALORANT and also contributions from recently released games, DnF Mobile and Delta Force. International Games revenue increased 15% year-on-year, or 16% in constant currency terms on robust performances from Brawl Stars and PUBG MOBILE and the early access release of Path of Exile 2. For communications and social networks, Mini Shops, our platform for indexed and standardized merchandise is progressively adding features to stimulate new and repeat transactions. For example, we introduced a gifting feature, which leverages Weixin social interactions and people's desire to gift each other fun or trendy items. This gifting feature has the benefit that gift recipients must fill in their delivery addresses, which builds out our delivery location graph, making future shopping transactions more convenient for consumers and future delivery more efficient for merchants. Weixin Search continued to grow queries and revenue at rapid rates. We integrated Tencent HunYuan and DeepSeek large language model capabilities to enhance the relevance and quality of Weixin Search results and Tencent's own model powered results now cover over 90% of question based searches. For Domestic Games, several of our evergreen games benefited in terms of DAU and monetization from IP collaborations and high profile events during the fourth quarter. Honor of Kings' gross receipts grew by a double-digit percentage year-on-year on higher DAU and popular outfits based on the anime series Detective Conan. VALORANT gross receipts more than doubled on tie-ins with the world championship winning team, Edward Gaming, and with Riot's animated series, Arcane Season 2. Fight of the Golden Spatula's gross receipts grew by a double-digit percentage on Arcane-themed champions. We're seeking to nurture additional evergreen titles. For example, our recently released game Delta Force generated over RMB1 billion of gross receipts, from PC and mobile in China during the fourth quarter and our pipeline includes highly anticipated games such as the Hidden Ones, Light of Motiram, GODDESS OF VICTORY: NEW HOPE and VALORANT Mobile. During this 2025 Spring Festival period a few weeks ago, our five highest grossing games each increased their DAU versus the 2024 Spring Festival period, demonstrating the health of the game industry and the vitality of our evergreen titles. DAU growth flowed from gameplay and social activity initiatives such as Peacekeeper Elite's Tang Dynasty-themed map, an Honor of Kings' Social Space featuring fireworks and selfie spots. Among our International Games, Brawl Stars from Supercell in Finland was the third highest mobile game by DAU industry wide outside China for 2024. Gross receipts grew several times year-on-year in the fourth quarter benefiting from the Angels vs. Demons season and redesigned battle pass. Path of Exile 2 from our subsidiary Grinding Gear Games in New Zealand is a new action RPG for PC and console featuring an in-depth character development system. The game ranked first among premium games by revenue on Steam for six weeks following its early access release in December. Warframe, from our subsidiary, Digital Extremes in Canada, released a major update, Warframe 1999 in the fourth quarter, which boosted DAU and resulted in the game achieving the highest level of fourth quarter gross receipts in its 11 year history. For the full year 2024, Warframe's gross receipts increased over 30% year-on-year, also achieving a life to date record level. For Marketing Services, revenue grew 17% to RMB35 billion in the fourth quarter, benefiting from higher user engagement and the ongoing AI upgrade of our advertising platform. Specifically, we enhanced our AI models to facilitate more holistic understanding of users' interests and of how users are responding to ads, enabling our system to make more relevant ad recommendations. Our Marketing Services revenue increased across most industries. By inventory, Video Accounts Marketing Services revenue grew over 60% year-on-year on higher user engagement, the AI enhancements mentioned earlier and increased consumer transactions within Video Accounts resulting in more close loop e-commerce advertisements. Mini Programs Marketing Service revenue increased rapidly year-on-year and Weixin Search revenue more than doubled year-on-year on more commercial queries as well as AI optimized ad placements and ad formats, boosting click-through rates. Looking at FinTech and Business Services, segment revenue was RMB56 billion in the fourth quarter, up 3% year-on-year. FinTech Services revenue resumed low-single digit year-on-year growth in the quarter, benefiting from improved commercial payment volumes and increases in wealth management and consumer loan services revenues. For commercial payments, revenue improved to largely stable year-on-year and the number of transactions grew faster year-on-year in the fourth quarter versus the third quarter. Business Services revenue grew modestly year-on-year in the fourth quarter, benefiting from higher cloud services revenue and increased technology service fees generated from rising e-commerce transaction volumes. But, as Martin mentioned, allocating more GPUs to Tencent's own needs temporarily constrained the growth of cloud services revenue in the quarter. Business Services gross margin rose year-on-year due to improved efficiency. For WeCom, revenue more than doubled year-on-year as enterprises are increasingly willing to pay for advanced communication functionalities. And Tencent Meeting grew revenue over 40% year-on-year benefiting from increased enterprise adoption. With that, I'll pass to John.
John Lo: Thank you, James. Hello, everyone. For the fourth quarter of 2024, total revenue was RMB172.4 billion, up 11% year-on-year. Gross profit was RMB90.7 billion, up 17% year-on-year. Operating profit was RMB51.5 billion, up 24% year-on-year. Interest income was RMB3.9 billion, broadly stable year-on-year. Finance costs were RMB2.5 billion, down 29% year-on-year due to the exchange -- foreign exchange gain this quarter compared to losses in the same period last year. Share profit of associates and JV was RMB9.3 billion compared to RMB2.4 billion in the same quarter last year. On an IFRS basis, share profit was RMB7.7 billion, up RMB4.5 billion in the same quarter last year, due to associate company-specific factors including business growth, new content releases, and enhanced operating efficiencies. Income tax expense increased by 22% year-on-year to RMB11.8 billion, primarily driven by operating profit growth. On non-IFRS basis, diluted EPS was RMB5.91, up 33% year-on-year, outpacing non-IFRS net profit growth due to reduced share count from our share buybacks. On non-IFRS financial figures for quarter four, operating profit was RMB59.5 billion, up 21% year-on-year. Net profit attributable to equity holders was RMB55.3 billion, up 30% year-on-year. The difference in Y-on-Y growth rates between operating profit and net profit was primarily due to higher non-IFRS share of profit from associates and JV, which went up by 72% to RMB7.7 billion this quarter. Moving on to gross margin. For the fourth quarter, overall gross margin was 53%, up 3 percentage points year-on-year and by segment. Value-added services gross margin was 56%, up 2 percentage points year-on-year due to a higher mix of high margin domestic games revenue, margin improvement in music subscription revenue and a lower mix of low margin live streaming revenue. Marketing Services gross margin was 58%, up 1 percentage point year-on-year due to growth in high margin Video Accounts and Weixin Search revenues. FinTech and Business Services gross margin was 47%, up 3 percentage points Y-on-Y due to a higher mix of high margin revenues alongside improved cost efficiency in our cloud services. Our fourth quarter operating expenses, selling and marketing expenses were RMB10.3 billion down 6% from a high base in the same quarter last year. Selling and marketing expenses represented 6% of revenues down from 7% in the same quarter last year. Total G&A expenses were RMB31.4 billion, up 16% Y-on-Y substantially driven by increased R&D expenses which grew 21% year-on-year to RMB19.8 billion mainly due to higher staff costs and GPU service depreciation related to our AI initiatives. G&A, excluding R&D was up 8% in Y-on-Y to RMB11.6 billion. At quarter end, we had approximately 111,000 employees, up 5% year-on-year or 2% quarter-on-quarter. For the fourth quarter 2024, non-IFRS operating margin was 34%, up 3 percentage points year-on-year, largely in line with gross margin expansion. Next, I'll highlight some key cash flow and balance sheet metrics. For the fourth quarter, operating CapEx was RMB34.9 billion, up 421% year-on-year, driven by increased investment in GPUs and servers to ramp up our AI capabilities. Non-operating CapEx was RMB1.7 billion, up 103% year-on-year, primarily driven by data center construction in progress. Our total CapEx was RMB36.6 billion, up 386% year-on-year. Free cash flow was RMB4.5 billion down 87% year-on-year, primarily due to increased CapEx spending on GPUs, servers and data centers. On a Q-on-Q basis, free cash flow was down 92% due to timing differences settlement of certain accrued expenses, higher CapEx spending on GPUs and servers alongside with seasonally lower games gross receipts. Net cash position was RMB76.8 billion down 20% Q-on-Q reflecting cash outflows related to CapEx and share repurchases. On capital returns, for the full year of 2024, we repurchased 307 million shares with a total consideration of HKD112 billion, more than doubling both number of shares repurchase and total consideration from last year. Our weighted average number of shares for calculating 2024 diluted EPS decreased by 2% year-on-year. Subject to shareholders' approval at the upcoming 2025 AGM, we are proposing an annual dividend of HKD4.5 per share, reflecting a 32% increase from previous year. The dividend will be payable to shareholders on May 30, 2025. Thank you.
A - Wendy Huang: Thank you, John. We shall now open the floor for questions. [Operator Instructions] The first question comes from Kenneth Fong from UBS. Kenneth, the line is open.
Kenneth Fong: Hi. Good evening, management. Congrats for the strong quarter and thanks management for taking my questions. I have two questions. The first one is on the AI CapEx impact on financials. So as we step up the CapEx on AI, our margin will be inevitably dragged by additional depreciation and R&D expenses. So over the past few years, we have seen meaningful increase in margin as we focus on high quality growth. So going forward, how should we balance between growth and profitability improvement? And my second question is, on Mini Shops. In Q3, we launched our Weixin Mini Shops and Blue Packet gifting function that have been very well received by the user. So can management share with us the strategy and key initiatives this year for e-commerce? Thank you.
James Mitchell: Hi, Kenneth. Thank you for your question. So people say the only things that are inevitable in life are death and taxes. And as a company executive, I think it would be remiss, if we were to say that lower margins are inevitable and we certainly don't believe that's the case. As far as increased research and development spending on AI is concerned and essentially every year of Tencent's history we've been increasing our research and development spending on various different projects. So we don't see R&D spending being a pressure per se on our margins. CapEx is a more nuanced topic because we did step up CapEx to a new sort of higher steady state in the fourth quarter of last year and over time that incremental CapEx will flow through into incremental depreciation over the next several years. But it's worth digging into exactly where that CapEx is going to understand whether the depreciation becomes a margin pressure or not. So the most immediate use of the CapEx is GPUs to support our ad tech and to a lesser extent our games businesses. And you can see from our results, you can hear from what Martin talked about that, that CapEx actually generates good margins, high returns. A second use of CapEx was GPUs for large language model training. And there was a period of time last year when there was a belief that every new generation of large language model required an order of magnitude more GPUs, that period of time ended with the breakthroughs that DeepSeek demonstrated. And now the industry, and we within the industry are getting much higher productivity on a large language model training from existing GPUs without needing to add additional GPUs at the pace previously expected. Third, there's CapEx related to our cloud business, which we buy this GPU servers, we rent them out to customers, we generate a return. It may not be the highest return business in our portfolio, but nonetheless, it's a positive return. It covers the cost of the GPUs and therefore the attendant depreciation. And then finally, where I think there is potentially the short-term pressure is the CapEx for 2C inference. And that is an additional cost pressure. But we believe it's a manageable cost pressure because that CapEx is a subset of the total CapEx. And, we're also optimistic that over time those -- the 2C inference activity that we're generating, just like previous activity within different Tencent platforms will be monetizing through a combination of advertising revenue and value added services. So overall, while we understand that you have questions around the step up in CapEx and how that translates into profitability over time, we're actually quite optimistic that we can continue to grow the business while protecting margins. Thank you.
Martin Lau: Just one sort of point to add to James' very comprehensive answer which is in the inference for consumer-facing product, there's actually a lot of venues through which we can actually reduce the unit cost by technical means, by software and by better algorithms. So I think that's also sort of a factor to keep in mind. So, with respect to the Mini Shop, right, I would say, number one, it's a very long-term initiative for us. So any particular initiatives is just sort of one of many things that we can do to build up this ecosystem over the long run. And secondly, I would say that, I would like to remind the audience about the positioning of the Mini Shop, right? It's really a unified platform that connects all the components of our Weixin ecosystem. And there is a standard and indexed merchandise information data structure so that the merchandise information can actually flow freely across the different components of the Weixin ecosystem. And that's -- the purpose is actually for our consumers to be able to find quality products and merchants. And if you look at the different components of the Weixin ecosystem, right, there is social infrastructure, there is content, there is search, there is Mini Programs, there's transaction platform and there's also WeCom. So there's a lot of components within the unified Weixin ecosystem that Mini Shop really wants you operate in. And if you look at the gifting, it's really one feature within the social component of the ecosystem. And -- so it's just sort of one of the many, many different features that we can add in order to really leverage the full Weixin ecosystem. And from the initial feedback, as you said, it's actually quite well received. We see a lot of people using this function to gift to their friends during the Chinese New Year period. And this gifting actually also magnify the word of mouth effect of quality products because you will only gift the products that you felt is actually sort of good. And for the people who receive the products which sort of magnify the initial purchase, they would enter their address into the delivery address and that would actually help us to get build an infrastructure of delivery graph and that would actually sort of help us to complete transactions in the easier way for a lot of people who have entered their address. And usually it actually would also induce the people who receive the gifts to sometimes give that further to their friends. So overall, I think the word of mouth effect is very good and the feedback from the merchants have been good. But it's only one component within the overall Asian ecosystem right now. So we felt over time, we continue to build up this ecosystem, this platform with patience and we treat it as a marathon rather than a sprint. And we felt we can go actually very far and long along this path. And if you look at the GMV of Mini Shop, it continues to grow at a very fast pace in the fourth quarter of last year.
Wendy Huang: Thank you, Martin. We will take the next…
Kenneth Fong: Thank you…
Wendy Huang: Thank you, Kenneth. Next we will take the question from Alicia Yap from Citigroup.
Alicia Yap: Thank you. Good evening, management. Thanks for taking my questions and also congrats on the strong set of results. Two questions. First is, for the enterprise-facing service that you mentioned, just wondering, if management can illustrate a little bit the demand and adoption rate that you have seen for your AI (ph) service over the past two months and how you foresee the demand growth in the coming quarters? And for the SaaS products, besides Tencent Meeting and Tencent Docs that you mentioned, so can management also share with us some of the software solutions that we plan to roll out that could potentially help cross-sell and upsell to our cloud customer. And second question is, on the consumer-facing application. I think in addition to Yuanbao, which overseas has achieved very strong breakout the last couple of months, there's also this EMA (ph) Copilot and also the Weixin is also with the enhanced search features. So just wondering, how will all these products eventually evolve over time and will Yuanbao positioned as the AI gateway that consolidating all the search and discovery entrance that will be complementary to the WeChat super app. Thank you.
Martin Lau: Okay. In terms of the AI service demand, it's actually very strong, but as I said earlier and then James also talked about it, right, we actually supply constraints. Part of the reason why you see such a big step up in terms of the CapEx in the fourth quarter is because we have a bunch of rush orders for GPUs for both inference as well as for our cloud service. And we would only be able to capture the large increase in terms of AI service demand when we actually install these GPUs into the data center, which would take some time. So I would say, we probably have not really captured a lot of that during the first quarter, but over time, it will capture quite a bit of it with the arrival and installation of the GPUs. And in terms of the different software solutions, right, so you mentioned Tencent Meeting, Tencent Docs and WeCom is another very strong product, as a matter of fact, this is actually our biggest SaaS product in terms of revenue and it actually has grown a lot, doubled its revenue year-on-year in the previous quarter. And in addition to that, we also see security PaaS software and audio, video PaaS software, including real-time communications as well as live broadcasting software that we actually selling to our cloud customers. And quite a bit of these also can be enabled with AI to provide extra value to our customers. And then, on the consumer-facing application, yes, we actually have a whole host of different consumer-facing applications and you should expect more to come. I think AI is actually in a very early stage, so it's really hard to talk about what the eventual state would look like. But I would say, one, each product will continue to evolve into very useful and even more powerful products for users. So Yuanbao can be sort of a very strong AI native assistant and the EMA (ph) Copilot could be your personal library and also a collaborative library for team collaborations. And Weixin can have many, many different features to come, right? And in addition to these products, I think our other products would have AI experiences including QQ, including browser and other products. So I think we would see more and more AI -- consumer AI-facing products and at the same time, each one of the products will continue to evolve. I think, if you look at Yuanbao, it is indeed consolidating a lot of different functionalities, but it will not be the only gateway. Each one of our products would actually try to look for unique use cases in which they can leverage AI to provide great user experience to their users. But at the same time, our different products can also work together in order to provide the right pathway for our AI products to grow their own user base. So I think that will be continuing to evolve and that would be helpful for us as we build a whole host of AI solutions and applications of consumers.
Alicia Yap: Thank you, Martin.
Wendy Huang: Thank you. We will take the next question from Shi Jialong from Nomura.
Jialong Shi: Thanks, Wendy. Thanks, management, and good evening. Congratulations again on a very solid quarter. My question is actually a follow-up on the last question. So we saw Tencent Yuanbao shows very strong growth momentum since this year. So can management elaborate the strategies to further grow the user base in this very competitive market? Yuanbao is a hybrid of AI chatbot and AI search provider. So just wonder which part of the two is Tencent most excited about? And also relating to that, how big a market share will AI search eventually represent in the entire search market in the future in terms of search queries and how do you guys plan to monetize AI search in the future? Thank you.
Martin Lau: Well, in terms of Yuanbao, well, right now, it is a chatbot and search. But over time, I think, it would actually proliferate into all capable AI assistants with many different functionalities serving different types of people. So, if -- it would range from students who want to learn and it would include all kinds of different people who actually -- knowledge workers who want to complete their work. And we would sort of cover deep research which allows people to do very deep research into different topics. And so, I think it's going to be having many, many different applications. I think the unique advantage of Yuanbao, obviously, it's about innovation, it's about sort of continuously adding features and functionalities to fulfill the user needs. But I think Yuanbao has got the unique advantage of having access to the content ecosystem of Tencent, especially, around official accounts and video accounts, these are sort of very high quality information sources. And at the same time, we felt our multi-model strategy actually sort of helps the users to get access to the best model and also have the advantage of using a combination of models to fulfill their complex needs. And in the future, as I actually alluded to, many of our different large DAU products would actually start to add different AI features and functionalities and some of them would have pathway and access to Yuanbao and our array of products would actually sort of help each other out. So I think those are the things that we can do continuously which sort of would be competitive. But at the same time, there are some unique advantages that we have too.
James Mitchell: And on your more general question about AI prompts vis-a-vis traditional search, I think different people will have different opinions and it will take time to play out. But at a high level, if we look at the history of web search subsuming web directory, if we look at our own behavior with AI prompts vis-a-vis traditional search, I think it's possible that AI search will subsume traditional search. Because, ultimately web directory, traditional search, AI prompt, all represent mechanisms for accessing the Internet's knowledge graph. But within them, AI prompts brings new technology, new efficiency, also new transactional capabilities through agentic AI that were not possible in traditional search. And so, in terms of how the AI prompt will be monetized, time will tell. But I think that we can already see in the Western world the first monetization is through subscription models and then over time in a performance advertising will follow. I think in China, it will start with performance advertising and then value-added services will follow. Thank you.
Jialong Shi: Thank you.
Wendy Huang: Thank you. We will take the next question from Ronald Keung from Goldman Sachs.
Ronald Keung: Thank you, Pony, Martin, James, John and Wendy. So two questions. First on [Technical Difficulty] advertising, with a healthy 17% growth that we saw, should we view this fourth quarter exit rate as a proxy, let's say, to 2025 this year? And given the talk about the AI-powered enhancements and we've seen from Meta, that machine learning and advantage plus shopping, all of these AI could drive growth acceleration for some of the global peers. So is there a possibility for even acceleration of this marketing services growth line, as we head into this year with more AI applications of that? Separately on games, how should we view the growth outlook this year for Domestic and International, especially, the higher base effect for Domestic by the second half of this year? And with AI, what are the implications to this business? You talked about longevity, but also competition and cost structures in this games industry. Thank you.
James Mitchell: So why don't I lead off with advertising and game trends briefly and then I'm not sure if Martin would address game AI. We'll determine that in due course. I think on the advertising, we're very pleased with the growth rate in the fourth quarter, which clearly outpaced the industry. There were no particular special tailwinds to call out. It was fairly organic growth and it was very broad-based against pretty much every industry that we monitor. And we think that's because across pretty much every industry, we monitor the AI enhancements where we're deploying and delivering superior return on investment for advertisers versus what they previously enjoyed and versus what's available elsewhere. You compared us with some of our global peers, which I think is the right thing to do with the caveat that some of our global peers tend to move to a sort of fully loaded ad load much earlier in the evolution of their products. For example, short video versus we tend to gradually incrementally increase the ad load for our newer products like short video and that remains the case. And so I think there is a difference in how quickly we choose to sort of race down the runway versus some of our global peers. But overall, as long as the macro environment doesn't change dramatically, then I think we feel quite comfortable with our advertising business. As far as the game business is concerned, you're asking about a higher base effect in the second half of the year. I mean, I guess, it's the curse of this kind of industry that if you do well, then people worry about the base effect a year later. But, I think that there are some observable facts about our game business today. One is that we ended last year with our deferred revenue, much of which comes from the game business, up high-teens percentage year-on-year. And so that deferred revenue will flow through into reported revenue through the first half, but also through the second half of next -- 2025 and some in 2026. And then a second observable fact that we called out in the prepared remarks is that the user behavior on our games during Chinese New Year is quite a nice sort of insight into whether our games are generally increasing or not increasing popularity. And so, for all five of our highest grossing games to see daily active users up year-on-year in the Chinese New Year this year versus the Chinese New Year period last year is a positive leading indicator. So those are both sort of observable facts. There's also subjective opinions. Subjectively, we believe we have a couple of games that are well on their way to graduating to evergreen status as well. And we mentioned one of them, Delta Force. And so, that's a really important opportunity tailwind. Secondly, as we talked about in the prepared remarks, we're -- we have a number of new games in the pipeline that we're excited about. And then thirdly, we do believe that games benefit in a direct and potentially a less direct way from AI technology enhancements. The direct way is the game developers using AI to assist them in creating more content more quickly and serving more users more effectively. And then the indirect way, which may be more of a multi-decade rather than a second half of this year story is that, as humanity uses AI more broadly, then we think there'll be more time and also more desire for high agency activities among people who are now empowered by AI. And so, one of the best ways for them to express themselves in a high agency way rather than a passive way is through interactive entertainment, which is games.
Martin Lau: And I think just one more point to add, which is, sort of when we think about the competitive dynamics, right, we actually felt AI would allow evergreen games to be more evergreen. And, we are already seeing sort of how AI can help us to execute and magnify our evergreen strategy. And part of it is within production, right, you can actually produce great content now within shorter period of time so that you can keep updating the games with higher frequency of high-quality content. And with the PvE experience, when you have smarter bots, right, you actually sort of make the game more exciting and more like PvP. And within PvP, a lot of the matching and balancing and coaching of new users can actually sort of be done in a much better way when you apply AI. So all these would actually help already popular and large scale games to be even more popular and more attractive for the users.
Ronald Keung: Got it. Thank you.
Wendy Huang: We will take the next question from Alex Yao from JP Morgan.
Alex Yao: Thank you, management, for taking my question and congrats on a strong quarter. My first question is regarding the commercial payments. It's encouraging to see that your commercial payment revenue has turned from negative growth in Q3 to year-on-year flat in Q4. Can you share with us your observation of how the commercial payment activity trends so far in first quarter of 2025? And then my second question is a follow-up to the AI and the CapEx. You guided a CapEx to revenue ratio of low-teens for 2025, which is a similar ratio as for '24. So basically this guidance implies a significant slowdown of CapEx growth. Can you talk us through the rationale behind this CapEx to revenue ratio? Is it because you foresee a slowdown in demand growth for GenAI or is it because the big step up in 2024 will be sufficient to address the GenAI demand in 2025? Thank you.
Martin Lau: In terms of commercial payments, what our observation is that the volume of transactions actually sort of increase further, but then the pricing pressure on the ASP actually continued. So net-net, it's still -- from a value perspective, it's still kind of flattish. So the way we interpret it is that I think consumers' propensity spend is actually coming back. But then on the supply side, there's still a lot of pricing pressure. So hopefully, this is sort of a good sign that we're toward a tail end of a tough market, right? And then when consumers demand continue to improve, then over time the suppliers will be less cutthroat and over time, that would translate into value growth. But I think that's something that we'll have to see going forward.
James Mitchell: And on your question about CapEx revenue then, yes, it is because the step up in late 2024 should be sufficient to address GenAI and other needs in 2025 at this sort of new normal run rate. We incur a time lag between ordering the GPU servers and fully deploying them in data centers. And so, during the fourth quarter, during part of the first quarter, we were in that situation. But as Martin spoke to exiting the first quarter, we're deploying the GPUs and we get the benefit of them both for our internal inference needs for Yuanbao as well as our external Tencent cloud needs for renting out to clients and generating direct revenue. And I think that if you step back and look at the bigger picture then, there was a period last year when people asked us if our CapEx was big enough relative to our China peers, relative to our global peers. And now, out of the listed companies, I think we had the largest CapEx of any China tech company in the fourth quarter. So we're at the forefront among our China peers. In general, the China tech companies spending less on CapEx as a percentage of revenue than some of their Western peers. But we believe for some time that's because the Chinese companies are generally prioritizing efficiency and utilization -- efficient utilization of the GPU servers. And that doesn't necessarily impair the ultimate effectiveness of the technology that's being developed. And I think DeepSeek's success really sort of symbolized and solidified, demonstrated that reality. Thank you.
Martin Lau: But the only point I want to add is, this is a very dynamic situation, right? So what we are giving is actually sort of our expectation. But frankly, right, the expectation can change. If suddenly sort of there's a surge of demand, then we can definitely sort of increase our order for GPUs. So I think we'll be sort of very flexible and dynamic in responding to the market dynamics.
Wendy Huang: Thank you. We will take the next question from John Choi from Daiwa.
John Choi: Thank you for taking my question. My first question is a follow-up on advertising. So can management share some more color? I think on the prepared remarks you guys mentioned that we've seen increase for most industry, like, which verticals have benefited most. And also in terms of the advertisers, we noticed that video accounts, mini programs, Weixin search, all went up quite a bit. So in terms of the advertisers' behavior, how has this changed and how has this benefited our advertising revenue growth? My second question is on capital allocation. I think management shared that we share buyback in this year will be less than last year, but on the other hand, dividends will increase. So what is our priority when it comes to capital allocation? And meanwhile, how should we think about investments in M&A as we are seeing a very strong demand in the AI industry at the current stage? Thank you.
James Mitchell: Sure. So on your advertising question, in some of the categories where we saw year-on-year growth included e-commerce, financial, fast moving consumer goods, games, local service, education, healthcare, so a long list of categories across the board. And as we deploy these AI enhancements generally, we do so first in Video Accounts and then it sort of percolates across other Weixin properties, across the Tencent properties and across our ad network, and so that the benefits become increasingly broadly felt over time. So that's on the advertising question.
Martin Lau: In terms of capital allocation, I think the key thing overriding principle is actually we want to invest in order to generate return for the company and for the shareholders, right? And it means different areas in different times. There were times in which we invest a lot in the ecosystem and our ecosystem partners and build a very large investment portfolio. And then, we started returning cash to our shareholders through dividends and share buyback. And now, there's AI and we felt there's a lot of potential in AI to generate return for the future. So I think we basically now want to create investment strategy that we invest in our future, but at the same time, we also provide current period return through dividend and buybacks, right? So I think that's the overriding principle. And if you look at our ability to do that, I would say, we have a very strong financial capability to do that because we have very strong cash flow on an operating basis. We also have a very large and valuable investment portfolio and a big part of it is actually very liquid. So we have enough financial resources to invest in the future, both in AI as well as, if needed, right, invest in some investment activities. Our investment portfolio is essentially self-funded and at the same time, provide current period return to shareholders, right? So as we look -- for this year, we have already announced that we're going to pay cash dividend of HKD41 billion and we would slightly reduce our share buyback from last year, we said we're going to buy back 100 billion and this year, we said we're going to buy back 80 billion, right? So basically you can call it a 20 billion flexibility buffer for us to sort of sit through the year and see whether we need to invest further in AI. But if you look across the two years, last year we said the dividend was 32 billion and share buyback was 100 billion, that's 132 billion target return. And this year our target return is 80 plus 41 and 121. But if you add the overspending of our share repurchase last year of 15, right, then this year's number is actually sort of similar to last year's target. So I think, we are trying to provide a very good balance between current period investment -- return as well as future investment. But we have a very strong set of financial resources to do that.
Wendy Huang: Thank you. We will take the next question from Robin Zhu from Bernstein. Robin, you need to unmute yourself. Maybe we take the next question from Thomas Chong from Jefferies.
Thomas Chong: Hi. Good evening. Thanks, management, for taking my question, and congratulations on a very strong set of results. My question is going back to the previous question on spending and also on higher margin business and monetization. So given the fact that we have been pursuing high quality growth strategy for the past couple of years, and we are also looking into margin expansion story with operating profit growth to be faster than revenue growth. But we also point out that as time goes on, the delta between the two will narrow down. So I think putting -- connecting all the dots together and putting all the puzzles, how should we think about the margin expansion story in 2025 and the next few years? Thank you.
James Mitchell: Why don't I take a stab at that? So at some level, the reason or a key reason why we have enjoyed operating margin leverage in the past two years, in particular, is because we have enjoyed gross margin leverage. And the reason why we've enjoyed gross profit leverage to revenue is because, while our sort of base business has a blended gross margin of around 50%, there's a number of new revenue streams that contribute the majority of our revenue growth, which are coming in at gross margins of 70%, 80%. And so, as that mix shift has been underway, that has been pulling up gross margin and resulting in gross profit growing faster than revenue. Now, of course, there is over time a base effect or more accurately a sort of asymptotic effect. If the blended gross margin gets closer to the incremental gross margin, then inevitably the rate of improvement in the blended gross margin decelerates. So I think that's true over the longer term. But that said, when we look at our high quality revenue streams, such as the Video Accounts ads, such as the search ads, such as some of the value added financial services, such as the e-commerce transaction fees, such as our own games, then generally, those continue to grow faster than our overall revenue and continue to enjoy contribute substantially higher margins than our blended margin. And so, we believe that we will continue to enjoy that gross profit leverage and therefore operating profit leverage vis-a-vis revenue on a sort of progressive asymptotic basis.
Martin Lau: Of course, AI investment would actually sort of go against that. So you just have to sort of rebalance the two sort of…
James Mitchell: Yeah.
Martin Lau: I think just to make the full picture clear.
Wendy Huang: Thank you. In the interest of time, we will take the last question from Liao Yuan from CITIC Securities.
Yuan Liao: Thanks, Wendy. Thanks, management for taking my questions. Congrats for the strong quarter. My question is regarding the AI and AI agent. We have seen many companies release their own large function models in AI agent. Just want to know how our management view the key competitive factors in the future of large language model and what our competitive advantage are? Thank you.
Martin Lau: So what's -- I didn't catch the last part of it. What's the..
Yuan Liao: Yeah. What is the competitive advantage, because we see a lot of AI agent in the market. So how should we increase the user engagement in the future by adding more features and functions?
Martin Lau: I think there is sort of AI -- well, there are many types of AI agents, right? And the AI agent is essentially a model leveraging the model capability and then sort of having connections to different software tools in order for a complex task to be completed, right? It's a pretty general concept and you can have AI agents. On a standalone basis, you can have AI agents living in different apps. And the way we look at it is there will be sort of a multitude of AI agents. But I think, for us, we would be able to build standalone AI agents by leveraging models that are of great quality and at the same time by leveraging the fact that we have a lot of consumers on our different software platforms like our browser, like, Yuanbao over time. But at the same time, right, even within Weixin and within QQ, we can have AI agents. And the AI agents can actually leverage the ecosystem within the apps and provide really great service to our users by completing complex tasks. If you look at Weixin, for example. Weixin has got a lot of users, a very long user time per day, as well as high frequency of users opening up the app. That's one advantage. The second advantage is that if you look at the activities within, Weixin is actually very, very diversified, right? It's not just sort of entertainment, it's not just transactions, it's actually sort of social communication and content. And a lot of people conduct their work within Weixin, a lot of people conduct their learning within Weixin, and there are a lot of transactions that go through Weixin and there's a multitude of Mini Programs which actually allowed all sorts of different activities to be carried out, right? So you look at the Mini Program ecosystem, we can easily build an agent based on the model that actually can connect to a lot of the different Mini Programs and have activities and complex tasks completed for our users. So, I think those are all very distinctive advantages that we have. Now, of course, these are experiences that we want to build very carefully. We want to build very patiently so that it would deliver the right experience to the users with a lot of attention to their data security, to their sense of comfort and security, right? So these are the kind of things that we need to pay attention to when we build these products. But over time, I think those are great opportunities for us.
Wendy Huang: Thank you, Martin. We are now ending the webinar. Thank you all for joining our webinar today. If you wish to check out our press release and other financial information, please visit the IR section of our company website at www.tencent.com. The replay of this webinar will also soon be available. Thank you and see you next quarter.